Operator: Good afternoon, and welcome to the Data I/O Corporation Fourth Quarter 2020 Financial Results Conference Call. [Operator Instructions] After today's presentation, there will be an opportunity to ask questions. [Operator Instructions] Please note, this event is being recorded. I would now like to turn the conference over to Jordan Darrow. Please go ahead.
Jordan Darrow: Thank you, and welcome to the Data I/O Corporation fourth quarter and year-end 2020 financial results conference call. With me today are Anthony Ambrose, President and Chief Executive Officer of Data I/O Corporation; and Joel Hatlen, Chief Operating Officer and Chief Financial Officer, Data I/O. Before we begin, I'd like to remind you that statements made in this conference call concerning COVID-19, future revenues, results from operations, financial position, markets, economic conditions, estimated impact of tax reform, product releases, new industry partnerships and any other statements that may be construed as a prediction of future performance or events are forward-looking statements, which involve known and unknown risks, uncertainties and other factors which may cause actual results to differ materially from those expressed or implied by such statements. These factors include uncertainties as to the impact from the covenant team pandemic, along with continued reopening and recovery efforts within the supply chain and among our customer base, levels of orders for the company and the activity level of the automotive and semiconductor industry overall, ability to record revenues based upon the timing of product deliveries and installations, market acceptance of new products, changes in economic conditions and market demand, pricing and other activities by competitors and other risks, including those described from time to time in the company's filings on Forms 10-K and 10-Q with the Securities and Exchange Commission, press releases and other communications. The accuracy and completeness of forward-looking statements should not be unduly relied upon. Data I/O is under no duty to update any of these forward-looking statements. Now I would like to turn the call over to Anthony Ambrose, President and CEO of Data I/O.
Anthony Ambrose: Well, thank you very much, Jordan. I'll begin my formal remarks by addressing our fourth quarter 2020 and full year financial and operational performance, talk a little bit about the market and recent developments, and then I'll turn it over to Joel Hatlen, our CFO, for details on the numbers. If we step back a bit, 2020 was a year dominated by COVID. We're very pleased with the progress that's been made amid the fallout from the COVID-19 pandemic. I'd like to thank again and our appreciation for the health of our staff, our customers, our partners and their families and are grateful for the sacrifices made by health care professionals and first responders around the world. In 2020, we had to react to the COVID-19 pandemic. COVID-19 has impacted all aspects of our business, from customer demand, supply chain integrity, employee safety, business processes and financial management. As a global company, we had to manage each of these while working within the guidelines of local and national policies within the United States, China and Germany, among other jurisdictions. Our philosophy at the start of the outbreak of the pandemic was very simple: number one, keep our people and their families safe; number two, keep our facilities safe and operational while we serve our customers as an essential business; and number three, preserve our capital and cash. We managed all these successfully to date with no known employee transmissions at work and preservation of our working capital throughout the year. Our resilient supply chain model kept our facilities open and serving customers globally. We supported customers rapidly transitioning to medical device support during the year. We did all of this while facing unique international travel restrictions, shipping delays and inability to meet with customers in-person. All the while, we persevered and slightly grew our cash balances while moving more cash into United States. We also discovered we have several interesting opportunities to reengineer many of our business practices to become even more effective and efficient in the years to come. Bookings continued to recover from the Q2 bottom to $6 million in Q4. They were back-end loaded, and more than usual, the bookings carried over into Q1 as backlog and deferred revenue. Consumables were particularly strong in Q4 as we saw factories recovering and running at higher utilization. We're keeping an eye on two short-term factors: the chip shortages in automotive that have garnered a lot of press; as well as continued lockdowns in EMEA and Southeast Asia. The so-called chipageddon, where a number of automotive assembly plants have closed for lack of semiconductors, is big news all over the world. Obviously, anything that closes automotive plants is not good news for the automotive supply chain. But so far, we've not seen this impact our consumables business, and our funnel for automotive CapEx remains solid. On the R&D front, most notable is the continued advancement of our PSV family of products that is the global leader in the automotive electronics programming industry and also the progress made in our SentriX platform. On SentriX, you've heard me talk throughout the year about simplifying scale. In the third quarter, we released our next-generation SentriX systems and tools. With this release, we've now developed and control the critical intellectual property for security provisioning within the SentriX framework. This next-generation SentriX system simplifies end-to-end the provisioning and deployment of robust Internet of Things in automotive security and enables an outsourced-as-a-service business model with our partners. SentriX Product Creator is a powerful software suite that enables OEMs to securely, quickly and easily define the security deployment for their products and to securely deliver their product security definitions and secrets to a SentriX-enabled production facility remotely. The new SentriX Product Creator tool supports two deployment models in cooperation with leading embedded silicon vendors: the first, SentriX GO; and the second is SentriX Custom. SentriX GO streamlines IoT security deployment and provisioning using pre-configured use cases and a simplified developer experience. SentriX GO supports the most common use cases for creating and managing device identities, secure boot, cloud onboarding, device authentication and other use cases. SentriX Custom supports fully custom provisioning definitions. Both models enable product security definition collaboration between OEMs, silicon vendors and programming partners to easily define, provision and deploy robust IoT device security. During Q4, we announced supports for 2 new device families: the NXP SE050 secure element and the Infineon OPTIGA TPM family. We'll be presenting the tools and SentriX GO and the whole Product Creator family at the upcoming virtual embedded world event next week. We are once again nominated for the Best of Show Award and one of three finalists from amongst the entire exhibitor base. In the fourth quarter, we took a substantial noncash charge. Our investments in strategic technology around second generation SentriX made the first generation obsolete, and we therefore wrote off these obsolete systems and prepaid royalties associated with them. We also completed the end of the service of legacy handlers at the end of 2020. This includes the old PS family, the old FLX500 family, among others. We impaired the spare parts we kept to support these customers for many years. These actions significantly impacted the operating results in Q4 but, again, were noncash charges and will result in about $100,000 less in annual depreciation going forward. It will also allow us to focus more on our modern platforms for some of the process improvements I mentioned earlier. Looking towards 2021, we're well positioned to benefit as the market momentum cycles upward. The secular growth rates for automotive electronics are estimated by market participants and analysts alike at a compounded annual growth rate of 10% to 15% for the next decade. The recent short-term disruption of semiconductor supply only highlights the growth of semiconductors within the automotive industry. This is our market opportunity and why we continue to invest in R&D to extend our lead in automotive. During the year, we won orders for UFS, microcontrollers and other automotive programming requirements, which drove our installed base over 330 PSV systems in the field at the end of the year. With each unit sold, we read ongoing consumable and other related recurring revenue. In conclusion, I'd like to address our outlook for 2021 based on our encouraging trends in the second half of 2020. For 2021 we're planning to grow in line with the automotive semiconductor market which is we've talk about as estimated as a CARG of 10% to 15% for the next decade. We continue to control our production costs, so our gross margins are expected to be maintained in the mid- to high-50% range, with efficiencies gained depending on output and benefits from revenue mix, including expanding recurring revenues. From lower levels of spending in 2020, we expect operating expenses to increase modestly by about 2% in 2021 with a continued emphasis on R&D. In terms of the bottom line and flow-through to our balance sheet, we believe meeting these targets will deliver disproportionate improvements in profitability and cash flow. With that, I'll turn it over to Joel Hatlen, our Chief Operating Officer and CFO. Joel?
Joel Hatlen: Thank you, Anthony. Good day to everyone. To provide some upfront simplification, I want to summarize the impairment charge discussions that can be a bit confusing. Very simply, we did three impairment items, and they were reported in two places. The two places are cost of goods sold for inventory items and operating expenses for the other items. The three things were: first, SentriX first-generation items that were impaired by the second-generation launch; two, ending support for some legacy automated handlers, impairing the remaining service inventory; and three, some externally developed software tool cost. With that said, net sales in the fourth quarter of 2020 were $4.9 million as compared with $5.9 million in both the prior quarter and the fourth quarter of 2019. Fourth quarter bookings were $6 million, up from $5.6 million in the prior quarter and as compared with $6.9 million in the fourth quarter of 2020. With first quarter bookings of $4.3 million and second quarter bookings of $5 million, we have seen sequential growth throughout the year. Total bookings for 2020 were $20.8 million, down from $22.5 million in 2019. Total revenues for 2020 were $20.3 million, down from $21.6 million for 2019. On a geographic basis, international sales represented approximately 90% of total net sales for the fourth quarter of 2020 compared with 94% in the 2019 period. Total capital equipment sales were 52% of revenues; adapters, 33%; and software services, 15% of revenues for the fourth quarter of 2020 compared with 64%, 22% and 14%, respectively, for the fourth quarter of 2019. For the year 2020, capital equipment sales were 56% of revenues, with adapters at 28% and software services at 16%, which compares with 2019 capital equipment sales of 58% of revenue, adapters at 26% and software services at 16%. Gross margin as a percentage of sales in the fourth quarter of 2020 was 47% as compared with 55.1% in the third quarter of 2020 and 55.9% in the fourth quarter of 2019. Gross margin as a percentage of sales for 2020 was 53.2% compared with 58.2% in 2019. As Anthony mentioned, in the fourth quarter of 2020, the second-generation of SentriX was introduced, and we accelerated the transition to it by upgrading systems immediately at customers. As a result, we impaired the existing first-generation equipment and obsoleted the related inventory. Similarly, we ended the service life of some legacy automated handling systems as no longer being supported and impaired the remaining service parts as obsolete. Combined, the two noncash onetime impairment charges to cost of goods sold was $291,000 of obsolete inventory. Adjusted gross margin as a percentage of sales, that is excluding the impairment-related obsolete inventory charges, was 52.9% for the fourth quarter and 54.7% for the full year. Operating expenses were $191,000 higher in the fourth quarter of 2020 than in the fourth quarter of 2019. In the fourth quarter of 2020, operating expenses included a noncash onetime impairment charge of $652,000. 56,000 - $561,000 of the impairment charge was for prepaid royalties and equipment related to first-generation SentriX, and $91,000 was associated with external costs paid to developed software tools. Excluding the onetime impairments, operating expenses in the fourth quarter of 2020 would have been $3.2 million, a reduction of approximately 13% as compared to the fourth quarter of 2019. R&D was flat year-over-year for the fourth quarter as we continue to advance our technology solutions. For the full year, total operating expenses were $13.9 million or $13.2 million excluding the onetime impairment charge in 2020 compared with $13.8 million for 2019. In accordance with generally accepted accounting principles, GAAP, net loss in the fourth quarter of 2020 was $1.6 million or $0.20 per share compared with a net loss of $496,000 or $0.06 per share for the fourth quarter of 2019. Included in the fourth quarter of 2020 net loss is a onetime impairment charge totaling $943,000. For the year, net loss in 2020 was $4 million or $0.48 per share as compared with net loss in 2019 of $1.2 million or $0.14 per share. Included in annual net losses are foreign currency transaction losses of $513,000 in 2020 as compared with a gain of $5,000 for 2019. Fiscal 2020 net loss also included the aforementioned fourth quarter impairment charges and, earlier in the year, dividend withholding taxes of approximately $257,000 in connection with cash repatriated from foreign subsidiaries into the United States. Backlog at December 31, 2020, was $3.9 million, up from September 30, 2020, backlog of $2.8 million and $2.9 million at December 31, 2019. Data I/O had $1.1 million in deferred revenue at December 31, 2020, which was down from $1.2 million at September 30, 2020. Our days sales outstanding, or DSO, a receivables collection measure, at December 31st was below our target measure at 44 days as receivables decreased from the end of the third quarter. Net working capital at December 31, 2020, was $18.1 million as compared with $18.3 million at September 30, 2020, and $18.5 million at December 31, 2019. Inventory of $5.3 million at December 31, 2020, was approximately $210,000 higher than at September 30, 2020. Data I/O's financial condition remains strong with cash of $14.2 million at December 31, 2020, which is up from $13 million at September 30, 2020 and $13.9 million at the beginning of the year. From a financial perspective, we entered into the crisis in a position of strength and remain healthy. We believe that we continue to benefit from Data I/O being the largest company in our industry sector and with a highly resilient business model supported by the strongest financial position, including the large cash balance, no debt and the ongoing investments in R&D to maintain our competitive edge. Finally, we had shares outstanding of 8,416,335 as of December 31, 2020. That concludes my remarks. I will turn the call back to the operator to begin the question-and-answer section. Operator, would you please start the Q&A process?
Operator: [Operator Instructions] Our first question is from Jaeson Schmidt with Lake Street. Please go ahead.
Jaeson Schmidt: Hey guys, thanks for taking my questions. I just want to start with the second-generation SentriX product. Anthony, can you just provide some more color on why - what kind of made you guys make this move? Was this something your customers were really requesting? Or was this something that you kind of foresee the market moving to? Any additional details would be helpful.
Anthony Ambrose: Yes, the short answer, Jaeson, is a little bit of both. So if we look at the second generation, we made a number of improvements. And again, I go back to what we've talked about around SentriX, simplify and scale. As we mentioned in these calls pretty regularly, the number one issue we've seen with customer engagements is the complexity of taking a customer that wants to do business with us and getting them into production. And that was the big challenge on the first-generation product. Without going into too much technical detail, it was just very complicated to get all of the necessary security credentials, requirements, things like that from multiple different sources exchanged and collated and wrapped in a way that everyone felt comfortable with. So the second generation, number one, has a vastly improved tool that allows for much easier ability to assimilate all that information together. It also has a FIPS 140-compliant HSM, which is important to many customers, especially in the automotive space. And the concept also has been extended by our ability to use these pre-configured use cases, which means we can further simplify the process. For example, if you go into a restaurant and you want a cheese omelette, you really don't want to have to be escorted to a farm and be introduced to a hen and sit by the hen while she lays an egg and then go take the egg back and then go over and get a cow and watch it being milked and then go watch the cheese being fermented and made. You want a cheese omelette. And so the concept is that with the tool flow we have with predefined use cases, you come in and say I want a cheese omelette, and you get a cheese omelette pretty quickly. That's obviously a very oversimplified case, but I'm trying to draw an analogy here. It really is a much, much simpler tool flow, number one. And number two, it's also a case now we own all the intellectual property within the SentriX system, the critical IP. And the - this allows us also from a scale perspective to hit a cost structure that allows us to much more aggressively target the 330 systems installed base that we have in the industry on PSV systems, which, as I mentioned on earlier calls, a PSV system can become a SentriX system with a relatively straightforward field upgrade. So the short answer is it's both the customer requirement to simplify, to make it easier, to make the engagement happen much more quickly and also the scale element to allow us to profitably grow this business.
Jaeson Schmidt: Okay. That's really helpful. I appreciate that color. And then backlog jumped nicely in Q4. Can you remind us how the timetable for how and when that flows to the P&L?
Anthony Ambrose: Sure. As I mentioned earlier, the backlog jumped in was primarily back-end loaded, so - I'm sorry, the bookings jumped in were back-end loaded. So that generated backlog and some deferred revenue as opposed to revenue in the quarter. So the vast majority of that will ship in Q1.
Jaeson Schmidt: Okay. Okay. And then last one from me, and I'll jump back in the queue. How should we think about cash going forward? You guys did a nice job kind of maintaining - actually growing your cash balance in Q4. What should our expectations be here in Q1?
Joel Hatlen: Yes, we're primarily focused on working capital going forward as we will see the economy ramp back up after some of these COVID things, and we want to make sure that we have the cash to finance receivables. And I think we have pretty much the inventory we need. But just the whole process of getting deferred revenue and receivables financed is something that takes some cash, and we have the cash on hand to do that.
Jaeson Schmidt: Okay. Thanks a lot guys.
Anthony Ambrose: Thanks Jaeson.
Operator: The next question is from Ted Page [ph] with Engaged Capital. Please go ahead.
Unidentified Analyst: Hi. Thank you. Just kind of wondering on a big picture approach, how does the electronic vehicle revolution play into your growth plans for automotive electronics? I mean with the Mustang getting Car of the Year in several places and so forth, just curious how you see that going forward.
Anthony Ambrose: Well, thank you for the question, Ted [ph]. It's a very important question. Electrification, I think, is one of the most exciting areas within the automotive space and certainly likely to be at the high end or maybe over the top of the average growth rate of 10% to 15% in automotive for the next decade that we've heard from customers and analysts and people who follow the market. You've seen, I think, with policy choices at governmental levels around the world, they want more electric cars, and they're going to get them. So there will be a big increase in electrification of cars, and that has opportunities for us as someone that gets to program the semiconductor content that supports that electrification. And remember, the electrification includes a broad range of solutions. It's not just 100% electric. But as I mentioned before, it's hybrids. It's 48-volt systems to allow standardized internal combustion engines to not idle. It's not just cars and light trucks, but it will be potentially heavy trucks as well. I saw an article that mentioned the commercial trucking has upwards of 30% idle time and could really benefit from something like electrification. So short answer is we think it's a very, very positive growth catalyst. It's good for us, it's good for our customers, and we're excited about it.
Unidentified Analyst: Yes. And let me ask you, what's your share of automotive electronics market in dollar amount? And kind of what do you see with the overall market opportunity and size and share?
Anthony Ambrose: Sure. So if you look at it, we said in the release that we did about 53% of our business was automotive last year. So that's north of $10 million just there. That by itself might be the second largest programming company. It's hard to tell, but it's certainly in the range. So we see growth opportunities in automotive to continue to extend our systems to not only the customers that have them and selling them the fourth, fifth or sixth system in a plant. But we had a number of cases where we still have plants that haven't purchased Data I/O yet from customers that have '18 or '19 systems globally, and so we had one of those in the fourth quarter. So there's still plants out there that are adding electronic content. There's still contract manufacturers that are increasing their automotive footprint, and they prefer Data I/O because that's what most of the automotive companies do. There are also opportunities in China. A lot of names there that, frankly, very many people on the call have never heard of, but Data I/O's heard of them, and they're our customers. And in other areas as well. So that's just in the pre-programming space. As code size increases, and you may have heard me mention this on prior calls, you can program devices in a couple of different places besides where we do it in the production process. You can program devices at the semiconductor assembly test area. And you can program them at the end of line using either a tester or a dedicated piece of in-system equipment. So what we see happening is as the code gets larger and the demand for rapid revision of the code continues to increase, that favors our technologies over substitute technologies. As the code size gets bigger, it makes it more difficult and less economic to program parts at the end of the line. And so we continually get, especially in the microcontroller business, more and more examples where customers are saying, "Hey, let's just program it using Data I/O technology. We already have it in the factory. It's easy to use. And we go forward from there." So our opportunity is really built around the overall market growth in automotive electronics and the ability to get increased business from substitution as code sizes grow. And then the third opportunity is security, where our SentriX platform can provide many of the essential security functions that are absolutely required in automotive.
Unidentified Analyst: Okay. Great. And just one last thing, what kind of margin opportunity do you see in this?
Anthony Ambrose: Well, I think with margins, we don't break it out by market segment, but the margin opportunity is at least as good as the corporate average margins that we've been talking about.
Unidentified Analyst: Okay. Fair enough. Thank you.
Anthony Ambrose: Thank you.
Operator: [Operator Instructions] Our next question is from Avi Fisher with Long Cast Advisers. Please go ahead.
Avram Fisher: Hi, Anthony, I have a few quick questions. Starting with I wonder if you could help me understand something because I'm looking at an environment - I mean you have over 330 PSVs out. You guys program about 1 billion units per year. The industry produced about 25 billion units per year, so a small market share, a lot of opportunity to grow. But the units you are programming generally come from these 200-millimeter wafers. That's what I understand is the source of the sensors that you tend to program. And historically, these 200-millimeter wafers have been built at the fabs from like long-ago depreciated units because it's kind of trailing edge technology, but the foundries are suddenly building new 200-millimeter wafers. And I'm just looking out, and it seems like a profound opportunity that there's going to be more units coming out, a step growth function of more chips. And it seems like an incredibly bullish opportunity for you. So what I'm trying to understand is am I understanding something wrong because your guidance here is very conservative in light of the fact that foundries are spending money on the biggest input for your product.
Anthony Ambrose: So I understand. And the - we don't have an internal view on the wafer size profile of our mix in automotive. I wouldn't say that 200-millimeter is the largest part of our automotive programming demand. And I'm just thinking through it here. Remember, we do a lot of programming of the latest UFS and eMMC memory technology, which I doubt the memories would be on 200-millimeter. They're usually the first to jump to whatever process and wafer size gets them the lowest cost. But your point is a very valid one in the sense of long-term growth. Maybe we are conservative. Time will tell. But what I'm trying to emphasize is not what happens with chip again or what happens this quarter when 200-millimeter comes back. You guys have access to at least the same information that we have there. But the profound growth rate for the next decade that people are talking about, driven by the question that Ted [ph] had earlier around electrification, infotainment, advanced driver assist, I don't know who went public today in the LiDAR business, but it was probably somebody. And those are the types of things that, again, are in a very - not only the cyclical recovery that we've talked about but the secular long-term growth, which gets us very excited about automotive. So short answer will be you might be right. We'll see.
Avram Fisher: The - two other quick questions then regarding that is, I mean if your installed base can program, call it, 1 billion units per year, what you've said, and the industry produces 25 billion, maybe going up to 30 billion, now obviously, you're not aiming the whole industry, you're aiming for automotive and medical devices, but it seems like an incredibly fragmented market. Can you talk about efforts or opportunities to grow market share, consolidate market share, particularly if you think about - I mean if you read the papers, it sounds like some of the Korean chip makers are looking to acquire some of the sensor producers.
Anthony Ambrose: Yes, I think from our side, the - we've talked about it. We'll talk to anybody at any time about anything that makes sense. Up until now, we haven't been able to find anything that does make sense from a valuation perspective. I think we'd be open to talk to anybody on the programming side or end of line or things like that. The semiconductor companies, they've clearly been in a very acquisitive frame of mind over the last couple of years. But they're frankly, just so much larger than Data I/O. I'm not sure that we'd be a primary target for somebody that's a $50 billion company.
Avram Fisher: Yes. I guess last question, Anthony, which is something that I've long been curious about. But as your installed base of PSV units grow, how come we don't - how come the consumables revenues tends to fall in line with the sale of these devices? Shouldn't consumables grow exponentially with each new installed base? I never understood that.
Anthony Ambrose: Yes. I don't know if I'd use the word exponentially, Avi, but we believe that they grow, and that's why we talk about the installed base. We had a sort of a onetime hit in the second quarter this year when the auto line shut down. But it's a function of not only the installed base but the utilization of that installed base, okay? And what we mentioned in Q4 was we saw that utilization pick up pretty substantially. And no, one of the strategies is as we deploy the installed base, that recurring revenue stream increases not only consumables but software and services as well.
Avram Fisher: Thank you. We'll pass out later.
Anthony Ambrose: Okay. Thank you.
Operator: The next question is from Robert Anderson with Penbrook. Please go ahead.
Robert Anderson: Good afternoon, Anthony. How are you?
Anthony Ambrose: Well Bob. How are you?
Robert Anderson: Good. I was just wondering whether you have decided to revisit your business model associated with SentriX given the fact that you've moved from the first-generation model to the second-generation model in the sense that maybe instead of having a so-called rental rather than an outright sale model, with this second-generation SentriX, it may allow you to charge for those services upfront and realize revenues sooner.
Anthony Ambrose: So the short answer is, while we always look at and are tweaking product offers, we learn more about what the market really wants. There hasn't been a fundamental shift in the SentriX model with the move towards gen 2. What I think it does is, again, the deal flow will increase and has increased because it's easier to engage especially with the predefined use cases. And the pay-per-use model encompasses a broad range of how we might charge. And I'm going to be - keep it at a high level here because I know my competitors always like to listen in on these calls. But it also allows us to upgrade systems in the field as opposed to having to place brand-new systems, which is obviously a much more economic proposition. We're always looking for ways to get smarter on things like pricing and how we offer the product and making it simpler. But right now, we haven't abandoned or changed the fundamental premise of how we wanted to go to market with SentriX.
Robert Anderson: Okay. Thank you.
Operator: The next question is a follow-up from Jaeson Schmidt with Lake Street. Please go ahead.
Jaeson Schmidt: Yes. Just curious on how we should think about operating expenses this year and, I mean, obviously, with potential return to travel, trade shows, but also related to maybe some increased marketing around the SentriX platform.
Anthony Ambrose: Yes. So Jaeson, I'll take a few comments, and I'll turn it over to Joel on some specifics. But in general, what - we modeled our '21 budget assuming that COVID is still around certainly in the first half of the year, maybe longer. But we don't want to give up some of the key learnings we've had on certainly how to cut travel expenses. I certainly don't think travel expenses will go back to what they were, let's say, in 2019 anytime soon. Now we'll certainly be doing more. For example, next week, we're doing a virtual event with embedded world. Embedded world has been a premier event for over 20 years. And they sort of got - just as COVID was hitting last year, embedded world got hit. And so they had time this year to go to a 100% virtual model. We'll see how that works out. I think they have a very ambitious agenda. Yes, if you can do 100% virtual trade show, when I talk to people and I talked to some of my - other people in - ecosystem partners, the business development people really miss things like just walking around on a trade show and bumping into people you might know and having a 5-minute coffee or a beer or whatever and just exchanging information. I think that sort of ad hoc or impromptu interaction is definitely down. We want to capture as much of that as we can get, realizing that travel will never be back. In that way, we have changed how we think about where we're going to put some of our marketing dollars. We've got some new programs, new exciting things going on there. Perhaps you've seen the new website. Perhaps you've seen some of our activity on the social media platforms. I'd encourage you to look at both of those. But we definitely want to, again, accelerate some of the things that will continue to pay dividends, whether we're traveling a lot for sales or not. But certainly, in the future, I think there'll be more mix to those digital programs and less travel. Joel, is there anything else you wanted to add on spending for next year?
Joel Hatlen: No, it's just I think that a lot of the, I'll say, impairment-related things just set us up to focus and be more efficient on serving the new technologies and the new products and customers and not being diverted by some of these older legacy pieces. So that's one. I think that there'll be some depreciation savings, some tax savings, yes, some additional margin enhancements. So just each of those things are something that help us going forward.
Jaeson Schmidt: Okay. Thanks a lot guys.
Anthony Ambrose: Thank you.
Operator: This concludes our question-and-answer session. I would like to turn the conference back over to Anthony Ambrose for any closing remarks.
Anthony Ambrose: Thank you very much, operator. I want to thank everyone for joining us on the call today and just remind everyone that we'll be attending the embedded world virtually. If you'd like a ticket or like to find out how to attend one of our sessions, please send us an e-mail or leave us a note on the website. We'll also be virtually attending the APEX trade show in North America and San Diego a couple of weeks from now, again, with virtual content. So thanks, everyone, again, for attending. At this point, we'll close the call.
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.